Operator: Good day and thank you for standing by. Welcome to the Dundee Precious Metals First Quarter 2022 Earnings Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to, Jennifer Cameron, Director, Investor Relations. Please go ahead.
Jennifer Cameron: Thank you and good morning. I'm Jennifer Cameron, Director, Investor Relations, and I'd like to welcome you to Dundee Precious Metals first quarter conference call. Joining me today are David Rae, President and CEO; and Hume Kyle, Chief Financial Officer. After the close of business yesterday, we released our first quarter results for 2022, and we hope you've had an opportunity to review our material. All forward-looking information provided during this call is subject to the forward-looking qualification, which is detailed in our news release and incorporated in full for the purposes of today's call. Certain financial measures referred to during this call are not measures recognized under IFRS and are referred to as non-GAAP measures or ratios. These measures have no standardized meaning under IFRS and may not be comparable to similar measures presented by other companies. The definitions established and calculations performed by DPM are based on management's reasonable judgment and are consistently applied. These measures are intended to provide additional information and should not be considered in isolation as a substitute for measures prepared in accordance with IFRS. Please refer to the non-GAAP financial measures section of our most recent MD&A for reconciliations of these non-GAAP measures. Please note that unless otherwise stated, operational and financial information communicated during this call are related to continuing operations and have been rounded. References to 2021 pertain to the comparable period in 2021, and references to averages are based on midpoints of our outlook or guidance. I'd now like to turn the call over to David.
David Rae: Thanks Jennifer. Good morning and thank you all for joining us. As you've seen from our news release circulated last night, the first quarter of 2022 was a solid start to the year, as we continued to generate significant cash flow, driven by solid gold production and impressive all-in sustaining cost performance. This morning, I'll briefly review the highlights of our first quarter results and our operational performance before handing the call over to Hume to discuss our financial results. Looking at the highlights then from the first quarter, they include solid production of 63,000 ounces of gold and 7.7 million pounds of copper. Excellent all-in sustaining cost performance of $684 per gold ounce, which was below the low-end of our full year guidance; strong free cash flow generation of $52 million at the quarter; and continued financial strength exiting the quarter with a cash balance of $382 million. With higher quarterly production forecast for the balance of the year, our mining operations are on track to achieve their 2022 guidance. I'm also proud to share another notable performance highlight. Our Bulgarian operations recently achieved 4 million hours, which translates -- 4 million hours without a lost-time injury, which translates to two years without a lost-time injury. This is a remarkable accomplishment that speaks to DPM's strong culture that prioritizes the safety and wellbeing of our employees at all levels. Turning now to the highlights of our operations. I'll start with Chelopech. So, Chelopech continued its track record of consistent performance, producing approximately 41,500 ounces of gold, 7.7 million pounds of copper at an all-in sustaining cost of $563 per ounce of gold. Gold production was above expectation largely as a result of higher ore processed and higher gold recovery achieved in copper recovery -- in copper concentrate. Copper production was slightly below plan due to lower copper grades. At the end of March, we were pleased to announce a mine life extension and optimized life of mine plan in a technical report as well as an updated Mineral Reserve and Mineral Resource estimate for Chelopech. The optimized mine plan reflects improved gold recoveries, better commercial terms and results in higher gold and copper production, adding approximately 286,000 ounces of gold and 47 million pounds of copper to Chelopech's life of mine production profile. The results are also reflected in an updated all-in sustaining cost outlook for 2023 and 2024 where we've lowered costs to reflect the benefits of improved recoveries and commercial terms related to a higher volume of gold-to-copper concentrate delivered to third party smelters. We continue to focus on extending Chelopech's mine life through our successful in-mine exploration program and the growing brownfield exploration program, which for 2022 includes the usually 44,000 meters of in-mine drilling for mineral resource development of which roughly two-thirds of that is extensional, approximately 50,000 meters of brownfield exploration, which this year is primarily concentrated on near-mine exploration drilling related to the Sveta Petka commercial discovery application, as well as drilling at Sharlo Dere and other near-mine targets in the mine concession area. We've received all the required permitting for the drill program for Sveta Petka in March, allowing us to start the planned intensive drilling campaign to support the further assessment and application for a commercial discovery. And we commence that at the end of March, and it's for the commercial discovery application early in 2023. With a mine life that extends to 2030, an updated mineral resource base and increased in-mine and brownfield exploration drilling, we believe there is strong potential to continue our track record of mine life extension at Chelopech. During the first quarter, Ada Tepe produced approximately 21,400 ounces of gold, which is above expectation for the first quarter results of higher gold grades, at an all-in sustaining cost of $893 per ounce sold. With grades and production expected to be stronger in the second half of the year, and particularly the last quarter, Ada Tepe is on track to achieve its 2022 guidance. As we look to the year ahead, we're assessing the results of the accelerated grade control program at Ada Tepe, which was completed in 2021. The drilling was carried over with 7,000 meters done in 2022, and all of that together is now anticipated to go into an optimized mine plan, which is expected to be completed in the third quarter of 2022. We're continuing our exploration efforts at Ada Tepe with 20,000 meters of drilling planned for 2022, which will be focused on near-mine target delineation and drilling within the mine concession and surrounding Khan Krum exploration license. During the quarter, after completing conceptual targeting for possible feeder structures within the Khan Krum mine concession area, we're also planning a 5,000 meter drill program, which will commence in the second quarter. We also commenced drilling of Chiriite exploration license with an 11-hole scout program underway to test targets identified in 2021. Turning to Tsumeb. The Tsumeb smelter processed approximately 47,200 tons of complex concentrate in the first quarter at a cash cost per ton of $480. This is below target for the quarter as a result of maintenance to the off-gas system as well as reduced baghouse capacity. This impact to throughput is likely to continue as we progress toward the shutdown, which is planned to occur in Q2 and actually later in this month. As a result, we expect Tsumeb to be towards the lower end of its 2022 guidance for complex concentrate. In terms of future growth, we continue to advance the Loma Larga project, recently achieving a very significant milestone in the permitting process. In mid-April, we received technical approval for the EIA assessment study from the Ministry of Environment, Water and Ecological Transition. This process is now advancing to the community consultation stage. Following another review from the Ministry, we expect to get the environmental license in the third quarter of 2022. As the permitting process advances, our team is proactively working with stakeholders to obtain the project's social license. I had the opportunity to meet with President Lasso and a number of his cabinet ministers in March, and we continue to maintain a constructive relationship with the government. We are in negotiations regarding an investor protection agreement, which we expect to execute prior to making any significant capital commitments.  We've also increased our dialogue with local stakeholders to provide more visibility to certain aspects of the project that are of high interest in the local community. As we previously reported, we paused our planned drilling activities near the end of February, pending the hearing of a constitutional protection action against the Ministry, which is [indiscernible]. The original hearing date was deferred following the filing of preliminary motions, and we expect the hearing to be scheduled shortly. We continue to work closely with government ministries and local stakeholders that support the project in defending this action, which the company believes is without merit. In parallel with permitting, we've also continued our work to optimize the feasibility study for Loma Larga and progressed with several trade-off studies, aiming to further improve the project based on expertise and experience. Turning to the Timok project in Serbia, we continue to progress the feasibility study focused on the oxide and transitional portions of the deposit, which is on track for completion in the second quarter and reporting in Q3. In terms of our greenhouse gas targets, last night we were pleased to announce DPM's climate change commitments. These commitments are the culmination of a significant amount of work, which included assessing the risks and opportunities of climate change on DPM's business, as well as the development of a climate change strategy that incorporates our growth strategy, capital resources and operational priorities, and it is aligned with the goals of the Paris Agreement. We are committing to reducing our absolute Scope 1 and 2 greenhouse gas emissions by 37.5% by 2025 and to achieve net-zero emissions by 2050. However, in order to achieve the real reductions needed to avoid the global tipping point in the climate crisis, we also need to work with the suppliers and customers along our value chain. We're, therefore, also committing to develop a Scope 3 emissions target by 2025 and to engage the existing and potential new partners within our value chain to pursue opportunities that will have a meaningful impact. These commitments will require a significant amount of work and collaboration throughout our whole value chain, and I'm confident that we have the skills we need to be successful. We look forward to sharing our progress as we work towards these commitments. To wrap up the quarter, our strong production profile and significant free cash flow generation, combined with our operating track record and strong ESG performance, position us well to continue delivering value for all of our stakeholders. We are committed to deploying our capital in a disciplined manner as we have demonstrated with our investment in optimizing our assets and advancing our growth pipeline. We also continue to pay a sustainable quarterly dividend and more recently used our NCIB to repurchase 1.5 million shares during the first quarter. We are confident that DPM's strong fundamentals continue to represent a compelling value opportunity for investors. And I'll now turn the call over to Hume for a review of our financial results and outlook, following which we will open the call to questions.
Hume Kyle: Thanks David. Good morning, everybody. I'll begin by reviewing first quarter financial results, after which I will touch on our three-year outlook, financial position and capital allocation. For the quarter, we generated adjusted net earnings of $37 million or $0.19 per share, up from $0.17 in 2021. This increase was primarily attributable to higher smelter throughput toll rates and sulfuric acid prices at Tsumeb, higher metal prices and lower treatment charges in respect of concentrate sold, partially offset by lower volumes of metal sold at Ada Tepe in line with our mine plan, as well as higher operating costs in respective power, fuel and other direct materials.  Net earnings attributable to common shareholders in the first quarter of 2022 were $27 million. This included a restructuring cost of $10 million at Tsumeb related to a comprehensive initiative directed at optimizing its cost structure, as well as mark-to-market after tax losses in respect to our Sabina special warrants. Both of these are excluded from adjusted earnings as they are not reflective of our underlying operating performance. In terms of our cash flow metrics, Q1 cash flow from operations before changes in working capital was $64 million, and free cash flow was $52 million, each of which is comparable to the corresponding period in 2021. From a cost perspective, we continue to focus on margin improvement and cost performance at all of our operations. As expected, first quarter mining costs and all-in sustaining costs were up over 2021, reflecting inflationary pressures stemming from COVID and now more recently the Russian situation, particularly in respect to power prices, which are at record levels across Europe. Nevertheless, for the quarter, we delivered one of the better all-in sustaining costs in the industry at $684, up from $522 in 2021, reflecting lower volumes of gold sold at Ada Tepe, higher operating costs, higher outlays for sustaining CapEx, partially offset by higher byproduct credits and the impact of a stronger U.S. dollar. At Tsumeb, Q1 cash cost per ton was $480, down $487 compared to 2021. This was due primarily to the timing of the Ausmelt furnace maintenance, which occurred in the first quarter of 2021 and this year is planned for the second quarter. From a capital expenditure standpoint, sustaining capital expenditures incurred during the quarter were $9 million, down from $17 million in the corresponding period in 2021. And this decrease was due primarily to the timing of last year's Ausmelt furnace maintenance shutdown at Tsumeb. Gross capital expenditures incurred in the quarter were $6 million, up from $2 million in 2021, due primarily to spending related to the development of Loma Larga and the Timok project. Looking forward over the balance of the year at Chelopech and Ada Tepe, we are forecasting higher average quarterly production, and with solid year-to-date performance, are well on track to achieve our 2022 production guidance. At Tsumeb, throughput is expected to be at the lower end of its 2022 guidance as a result of maintenance activities during the first quarter in the off-gas system, which reduces baghouse capacity. These issues are expected to be resolved during the Ausmelt furnace maintenance schedule for the second quarter and are expected to translate into improved operating performance over the balance of the year. As previously mentioned, strong first quarter cost performance, we are well on track to achieve our 2022 guidance at all of our operations with potential upside as a result of the surge in the U.S. dollar against most currencies. Our guidance in respect to 2022 CapEx also remains unchanged, reflecting higher planned balance of year spending. Looking beyond 2022, our outlook remains unchanged with the exception that we have updated our all-in sustaining costs to reflect production and delivery of lower copper grade concentrate to third parties, combined with improved recovery performance and commercial terms as set out in the most recently issued Chelopech technical report. In particular, we've reduced our all-in sustaining cost outlook by roughly 6% to 7%, with 2023 and 2024 now expected to be between $590 to $700 and $690 to $800, respectively. In closing, we delivered another quarter of solid operating performance with our mining operations, which contributed to free cash flow generation of $52 million. As part of our overall capital allocation framework, we continue to allocate a portion of our free cash flow to shareholders with Q1 buybacks representing $8.9 million and a Q1 dividend of $0.04 per share or $7.6 million, up 33% from 2021 levels. With cash at $382 million at March 31, 2022, no debt and continued strong free cash flow generation, we are well-positioned to fund our existing growth opportunities and to generate additional value to stakeholders while continuing to return capital to our shareholders, a base portion of which will continue to be in the form of a sustainable quarterly dividend. And with that, I'll turn the call back over to the operator.
Operator: Thank you, sir. [Operator Instructions] We do have our first question from Cosmos Chiu with ICBC. You may ask your question.
Cosmos Chiu: Hi, David, Hume. It's, as you know, CIBC. But they might have changed the name on me. I'm not sure. But maybe my first question is on your cost. For the quarter as you mentioned, $684 an ounce, which is great, below your 2022 cost guidance. I'm just -- I guess my question is, in light of inflationary pressures, how were you able to get to a number that was below your target? And is it sustainable? Is it mostly due to the better concentrate terms coming from Chelopech, or was there something else as well?
Hume Kyle: Yeah. Great question. I think as you may recall, we increased our guidance or our outlook for costs coming into 2022 because of the inflationary pressures that we were seeing in 2021. So, I think in the first instance, it was anticipated that we were going to be higher. I think the one thing that actually benefited us in the quarter quite significantly was power prices. And power prices are at record levels across Europe. And what we weren't sure of, but what we factored into our guidance was a more conservative outlook in terms of ongoing subsidies. And the subsidy from Bulgaria continues and is expected to continue. And so that was really one of the key reasons why we've performed as well as we have. Now having said that, our outlook for the year does reflect higher commodity prices for direct materials, including things like diesel, which are up relative to what we forecast, but not that significantly, really. So, when we look at our forecast for the full year, taking into account the continued subsidy from the Bulgarian government for power and the strong U.S. dollar, we're very confident with the guidance that we have and see on slide two as well.
Cosmos Chiu: Great. Thanks Hume. I'm not sure how much you can share with us, but I think on the last conference call, you mentioned that power costs might have doubled year-over-year, but it sounds like now it's offset. How much of that is offset by subsidies, and how much longer can these subsidies continue? Or is it quarter-by-quarter that you find out if these are continuing?
Hume Kyle: Yeah. Good question. I guess, the fact is that we don't have visibility or confirmation from the governments that the subsidy will be in place long-term. They tend to announce it and it gives us visibility for several months at a time. So, at this point, we have visibility to probably the end of June at this point. But I think one of the dynamics that exists is the fact that because virtually all of the power production in Bulgaria is state owned, and in an environment where there's sort of one European price for power, the state is essentially enjoying windfall profits, which it can easily return to consumers, including the industrial consumers, to help mitigate the impact of these elevated prices. And I think, as I mentioned probably at year-end in the context of [technical difficulty], I would say that power prices without a subsidy are roughly five times higher, sometimes probably three time higher than what they were historically. And so, the subsidy, which is based on a formula and can sort of range between 30% and 40% actually, that goes a long way to mitigating some of the impact. But even if we were to lose the subsidy for the balance of the year, it still would not impact our guidance for 2022.
Cosmos Chiu: Great. And then, this kind of is related to my second part -- the second part of my question here. It's, again, very encouraging to see that you've lowered your all-in sustaining cost guidance for 2023 and also 2024. I guess, the first part of my question is how much -- what's the power cost assumption that's been priced into your lowered all-in sustaining cost on a go forward basis?
Hume Kyle: For 2023 and 2024, we essentially use the same elevated power price that we're using for 2022. So, nobody knows at this point as to where power is going to go. All these things tend to overshoot and undershoot in the short-term. I wouldn't expect that power prices would remain at these elevated levels into 2023 and 2024, but that's what we've assumed for purposes of the guidance.
Cosmos Chiu: Great. And then, the second part of my question is, I would assume that -- I think on a previous conference call, you mentioned that a lot of the Chelopech ore is now going to third-party smelters instead of going to Tsumeb. I would assume that's the case in terms of your updated all-in sustaining cost assumptions for 2023 and 2024. Can you remind us how much of your Chelopech ore is -- or concentrate is now going through a third-party versus Tsumeb? And I guess, the second part of my question is, are these longer term contracts? Because I remember in the past at times having concentrate going through Tsumeb was actually a bit more economical than going through third parties. Can that flip in 2023 and 2024? How sure are you in terms of these commercial terms, these favorable commercial terms continue?
Hume Kyle: Yeah. I mean, historically, as you know Tsumeb was our assured outlook for complex concentrate, not just for ourselves but third parties. And the market certainly changes over time. I would say in the current market environment -- and we've seen this for the last several years, actually, there's increased opportunity for Chelopech to divert. And the commercial terms by diverting to other smelters is certainly attractive. So, you may recall that what we said is, at this stage, rather than expanding the smelter, our primary goal is to divert Chelopech material and other third-party material. So, what our outlook reflects is exactly that. A decreasing proportion of Chelopech material going to Tsumeb over the next three years to the point where we are anticipating and planning that 100% of Chelopech material will be diverted away from Tsumeb by 2024. And as a consequence, we will essentially pick up not just in terms of the recoveries of the concentrate and gold concentration, but also there's a significant pickup in terms of the commercial terms that we are able to achieve with other third-party smelters.
David Rae: Maybe just a last comment on that in terms of what the consideration was going into this. I think it was also the same for the technical report. For this year, we've assumed 50% of the production from Chelopech will be at a grade suitable for shipping elsewhere, 50% to the smelter. For Q2 and Q3, we'll be producing grade suitable for the smelter. So, in Q1, what you've seen is what you can anticipate as an increasing proportion of our production going forward. For next year, that drops to 25%, one quarter of production from Chelopech. And we're not anticipating any Chelopech material going, unless it's favorable for us to do so, to the smelter as for 2024.
Cosmos Chiu: Great. Thanks again David and Hume. And those are the questions I had.
Operator: And we have our next question from Trevor Turnbull of Scotiabank. You may ask your question.
Trevor Turnbull: Thank you. Hi, David. On Chelopech, I wanted to ask you kind of more of a nuts and bolts question about the lower grade concentrate strategy for Chelopech and how that's helping with the improved costs. Just so I understand, is it kind of correct to say you're able to lower your cutoff, and that's how you're getting the higher metal into the concentrates, higher metal meaning kind of more metal in aggregate through the bigger mass pool?
David Rae: So, in the last two years, with the technical report and with the updates that we've made as part of the AIF, what you would have seen is that there's been an extension to the life of mine, which in part is because of a rethink of the cutoff grade in the blocks, the mining blocks. This year, what we're anticipating is there's going to be more focus on the actual exploration results feeding into the technical report. So, what happened in this particular case is we found an opportunity whereby with the work that we were doing, we could drop the concentrate grade target for copper, which effectively increases your recovery into a copper concentrate, which could then be sold as either copper or a gold concentrate, because it fits within a certain window in terms of copper grade, gold content and arsenic content. And that's something that I think is fairly unique for us relative to others, and this is why we've taken advantage of that opportunity. So, what we've done is we've rethought the cutoff grades and the blocks for the mine as part of the technical report, and that's brought about the additional 280,000-plus ounces over the course of the life of mine out to 2030. So, what happens, of course, is you're increasing the total tonnage, increase the mass pool and drop the tailings, which increases the overall recovery and the benefit in terms of recovery. So, if you would look at where we were last year, we were at a 76% overall recovery. This year, we were anticipating something that would be, say, 5% better than that. But actually, Q1 performance was even better than that. We were closer to an 83% overall recovery. So, it gives you an idea of the benefit in terms of gold units, even at a lower input grade, which if you sort of look at the numbers, that's what you'll see. Now, last comment on this maybe is that you have to make sure that the entire circuit can handle what you're doing. So, part of what we did was we dropped the head grade going into the mill in order not to overwhelm the filtration while we were working on the capacity for filtration. What happens now in Q2 and Q3, you increase the concentrate grade, which is no longer putting the filtration plant under pressure. So, therefore, the head grades for Q2 and Q3 will be higher and then we'll drop it again for Q4, depending on the constraint that is provided by the filtration. So, that's a lot more detail than perhaps you need, but I just wanted to give you an impression of this is going to be a year of sort of two halves. You've got Q1, Q4, which is at that low-grade, higher mass or higher recovery; Q2, Q3, which is suitable for Tsumeb, which is a lower recovery, slightly lower recovery, but still giving you the sort of benefit of the learning that we have from all of that in terms of an overall performance. So at the moment, we did a test in Q4 last year which allowed us to agree we would do that for this year for Q1 and Q4, and then Q2, Q3 will then feed into what we do in future years. So sorry, a lot more detail than probably you wanted to know, but I just wanted to give you an understanding of what we're doing is we're progressively building in these opportunities into the production plan. And that's why we have the high confidence of being able to achieve it.
Trevor Turnbull: No, I appreciate the extra color, because, I mean, the net result is easy enough to see costs coming down, but it helps to understand exactly some of the more technical aspects of how you've achieved it and not put the plant under strain. As the -- my next question, I guess, would be about Tsumeb, and just as kind of the dynamics have changed with respect to what you're doing with your concentrate and obviously the broader copper market, does that inform your strategy with respect to Tsumeb at all? Is there thoughts of ever perhaps divesting of Tsumeb? Or if that was a thought, is there more demand perhaps for a smelter, whereas in the past, I'm not sure there would have been a market or any buyers for it.
David Rae: I think the opportunity that we're taking advantage of is fairly unique for us. Not necessarily accessible for the rest of the market. And what happens is it's an opportunity for us, it's actually a problem for somebody else. So, what that means is that there's likely to be other materials which will be looking for a home at Tsumeb. So, this remains our ability to backstop the production of our concentrate should things change in the other direction. But equally, what we're doing at Tsumeb is we're undergoing a number of activities at the moment to increase the productivity and competitiveness, one of which is this P300 project. So, we're trying to make it so that Tsumeb is more self-sustaining and less reliance on the Chelopech concentrate, which with a cost-plus arrangement makes it uncompetitive relative to third-party smelters. So, I think the bottom line is that we're not seeing any particular increase in overall arsenic containing concentrate coming to market, but we do see there is going to be an increased demand in the near-term for Tsumeb's capability. At the same time, we're trying to decrease the unit cost as part of this P300 process, which we have happening this year and next year at Tsumeb. And I would say last, but not least to your point of its importance to DPM, at this point, I think we still need the fallback, but it's one of the things that we consider. At what point does this become more of a distraction to DPM than it becomes a positive in the terms of the confidence and ability to place our concentrate.
Trevor Turnbull: I appreciate that. And then, I just have one last question, and switching gears, obviously, quite a bit to Loma Larga. You got the technical approval for your EIA, and you're looking for final approval later this year. At the same time, I know you had a challenge to your drilling permits, and that's interrupted some of your exploration work, at least for the time being. My question, I guess, is do you expect similar challenges to perhaps interrupt your work, the challenges to the EIA that somehow might impact your ability to advance the work you're trying to do there?
David Rae: We would anticipate that those people who are concerned about mining in that area will continue to do what they can to delay our advancing the project to the point where ideally we can get them comfortable with we're all doing the right thing and this is going to be a net positive for that area. So, it's not just exploration, though. The thing that we're primarily concerned about is really not extending Loma Larga. We know the opportunity is there. But it's primarily around the hydrogeology, geotech and other drilling that we need to make sure that our assumptions in the technical report and the plan to construct this asset are well founded. So, we are anticipating that we'll get a court date on that. This is not the first. It's not the only one. This is the third of a series of different actions like this to have ruled in favor of the Ministry of Environment, by the way. This is the challenges against the ministry -- of the company.
Trevor Turnbull: Yeah. No, I appreciate that. That's all I had. Thanks again David.
Operator: And speakers, we have our next question from Wayne Lam with RCBC. You may ask your question.
Wayne Lam: Yeah. Thank you. Maybe just a follow-up on that question on Loma Larga. I was just wondering if you might have any clarity on an expected timeline that you're looking at in terms of a resolution of that court process.
David Rae: We're anticipating the dates of the setting of the case any day, literally. At this point, if you have a look at the other actions that have taken place, they've taken a couple of months to -- as the longest to get to a conclusion, still a potential for an appeal process in that. So, obviously, we're paying close attention. We're very happy to see that the other court cases have actually ruled in favor of MAATE. Obviously, our ambition at this point is to work through a process which provides confidence that we are doing the right thing, something we believe very firmly that we are. And gives us the ability while that is happening to get on with this drilling, which allows us to complete the opportunity of the updated technical report.
Wayne Lam: Okay. Great. Thank you. And then, maybe a follow-up on Tsumeb. Would you be able to provide a bit more detail on the ongoing review of the cost structure and kind of where you see room for optimizations? And then, just wondering if there's a certain tonnage that you guys need to hit to breakeven there on a quarterly basis?
David Rae: Yeah. Okay. So, in terms of the optimization, what always was the intent at Tsumeb is there was a need to bring in some of the work that might typically be done by third parties elsewhere. And the reason why we did that is we didn't feel we were going to get to an appropriate level of performance. So, we did that with maintenance. We did that with some of the oxygen production and so on. But the end result of that is that the plan was we were going to complete that work and then say, okay, right, how do we optimize the structure given there was so much going on with the construction and the other work at the smelter. We never quite got to that last phase. So, now what's happened is we said, all right, we're going to focus on this. So we're running what's called a P300 project. And the large component of that is how many people do you actually need to run this facility, and what is the work and what are the roles? And how do you plan this to give you the sort of performance that you're looking for?  So, we commenced a voluntary early retirement and a voluntary separation process, which is actually occurring right now. So that will take roughly 15% of the current complement out of the smelter. And we are, obviously, taking the work in redesigning the role so that when we come out of the shutdown, we'll be operating under a different configuration. So that's sort of what's happening there. At the same time, we're looking at what work do we have contracted so we can displace any temporary and contracted employees where possible with this change in workforce. But ultimately, it will be how do we bring down the overall cost, increase productivity, such that we can achieve our P300 target. In terms of the amount of tonnage that we're going to need, we're assuming that the sort of a baseline number would be in the region of what our previous record production has been, say, 230,000 to 232,000 tons per year. But there are different ways to do this. So, I've been involved in a number of different smelters, and I can tell you that some of the ways that you can do this is if you're short of tonnage, you run for a period of time until that tonnage is depleted. And then, you shut down, people take vacation, you do the work that you can do and then restart. So, actually, we could easily foresee a range of situations where we're operating as we are now with a sort of, let's say, a 15-month maintenance shutdown window. You could easily see that you could run for 10 months of the year and then have a lesser number of people because you don't have to take into account vacation timing. So, there's lots of different ways to look at this thing. But I would say from a tonnage point of view, assuming that we're talking about something between 200,000 and 230,000 tons a year would be the type of number that we're looking at with that $300 per ton goal.
HumeKyle: Maybe I would just add a comment there. I think that number that Dave referred to is really looking at Tsumeb like on a standalone basis, because as Dave mentioned, right now, Chelopech has a cost-plus contract with them that --. And the very purpose of that contract was to help ensure that we maintained a viable cash flow generating business. And that was put in place before we ever acquired Tsumeb. As a third-party, we put a contract in place to ensure viability of the smelter. So, it continues to this day. So, I would say under that like construct, probably the low-end of our guidance would be about breakeven. Like we've always sort of said that Tsumeb is going to generate anywhere between sort of $0 and $10 million of free cash flow. Not a very significant portion at all of the overall cash flow. So, 210 would be, roughly speaking, kind of breakeven under the current construct. But we very much want Tsumeb to reduce its cost structure. And the opportunity there is, one, standalone liability, and two, it'll further reduce the TCs that Chelopech pays on a go forward basis. So, I hope that sort of adds some additional color.
Wayne Lam: Okay. Perfect. Yeah. That's really good detail. Last one for me. I guess, on the emissions front, I think it's pretty notable having such an ambitious target on GHG reduction. You guys already have two very low emissions mines. So, I guess two questions. The first is, is the majority of that reduction going to be targeted at Tsumeb, and can you outline maybe some of those initiatives? And then the second, if the majority of your emissions fall within Scope 2, isn't that much more difficult to change incrementally, given that's not directly within your control?
David Rae: Great point. By the way, I said in my presentation that it was by 2025 that we have a 37% reduction. It's actually by 2035. So, talking about the initiatives -- and I'll come back to the sort of split of activity and where the opportunity is within the organization. We've already had a number of items that we've been looking at that can give us a sort of improved performance. And some of that is down to energy supply, which at the moment is a mix of hydro and coal. And looking at emphasizing things from more green sources that can give us some benefit both in terms of cost, but also in terms of greenhouse gas generation. The mines, it's -- and actually, it's not just smelters. There's a lot of things like looking at energy efficiency around things like conveying rework, grind optimization, all of that type of thing, even consumables. So, for instance, some of our ACT programs, our advanced control programs are actually on optimization of flotation, which gives you reduction in reagent consumption. So that then has the knock-on benefit that you've got less Scope 3 consumption as part of your supply chain. So, anyway, it's a complex situation. Back to your other point, there's definitely more opportunity at the moment in smelter than I would say that there is at the mines, because they're already well advanced in terms of that performance. This is a really big conversation. We're really happy to have that perhaps as a separate item because we'd like to make sure that we've got all the people here who can really sort of show you why we're excited about the work that we're doing. But this is something that we're working on actively. And the next phase of that, as we said, is that we need to really be talking actively with our suppliers and the people who are receiving our material to make sure that we have a plan of action, not just the Scope 1 and Scope 2, but more for Scope 3 as well.
Wayne Lam: Okay. Perfect. I think it's great that you've set such a target and really pushing the bar forward. Look forward to updates ahead.
David Rae: Thank you.
Operator: And we have our next question from Don DeMarco with National Bank Financial. You may ask your question.
Don DeMarco: Thank you operator and good morning team. Congratulations on the quarter. Just two questions. I apologize if some of the response has been touched on already. But just wondering why the cost guidance was not reduced for 2022. I mean, we see Chelopech for that -- led to the reduction in 2023 and 2024, but not 2022.
Hume Kyle: Yeah. I guess, what I would say is, first off, the 2022 guidance did reflect some of the outlook that we were anticipating in terms of the 50-50 production going to third parties and to Tsumeb. The other thing, though, just looking forward, we're in a very uncertain period right now. And I think even though we feel quite confident with the guidance that we have right now, and I really don't see any prospect for having to change it. And as I mentioned earlier, I think that there's good reason to think that we might actually get to the lower half of the range on the all-in sustaining cost side, even -- maybe even on a cost per ton basis, there's still a lot of uncertainty around power pricing in particular, supply chain pressures and further cost pressures that might come up because of the Russian situation. So, I think we're just being conservative. But directionally, we have indicated that I think that there is some upside to getting into the lower half. Particularly if the U.S. dollar is at current levels, I think we sort of forecast balance of the year probably 9% higher than the current level of the dollar. So that's some pretty significant tailwind that gives us comfort that even if we are to see some further increase in direct materials or we were to lose the subsidy, it's not going to impact our guidance. So, apologies. I can't be more specific than that.
Don DeMarco: No, that's really helpful.
Hume Kyle: Yeah.
Don DeMarco: Yeah. No, it's pretty helpful. Yeah. You're being a bit conservative, and there's maybe a little bit of uncertainty, and some of your expected cost reductions are already baked in. That's fair.  Maybe just another question on Loma Larga. And -- is there going to be an updated technical report at some point, or maybe just some sort of refresh on CapEx? I think that the feasibility study estimated CapEx about $316 million. We're in this inflationary environment. Everybody's just trying to get a handle on the magnitude, if any, increase across any project. So, when might we expect some update on that?
David Rae: Yeah. Good question. So that's why we're saying that for our view at the moment, we're less concerned about some of the other sort of impacts like doing additional resource drilling as much, as we want to really get on with the geotechnical drilling and the hydrogeology and this type of thing. At this point, we're anticipating that sometime in Q3 or Q4, we'll be having that report ready. All of the trade-off studies will be done. All of the resource work will be done. So, it's really down to the confirmation information such as condemnation drilling underneath the tailings facility and the geotech hydrogeology that I was talking about. Just to make sure that you're not taking a flyer on something like the tailings, you need to make sure that you have a good level of confidence in the urge works costs, in particular, around those. So, in terms of the other work, that's progressing well in terms of the trade-offs. And just something that you may not have thought of. One of the advantages of Loma Larga is in the experience at Chelopech and by what means we can bring that to differentiate ourselves in terms of what the value can be of that project. The same thing we just talked about in terms of the grade of concentrate as an opportunity for Loma Larga. So that's one opportunity, the considerations in terms of the production and where that might go. Another one, for instance, is are we going to do underground conveyor? Are we going to do trucking sort of technology? We typically don't use conventional technology on flotation. We're sort of well beyond that. And there's opportunities there to get something that is going to have a relatively quick payback, controllability, as well as point of view, a real benefit relative to [technical difficulty]. So, all of these things have been [technical difficulty] will be more about getting the information we need to put confidence on capital estimate on geotech hydrogeology.
Don DeMarco: Okay.
Hume Kyle: For the 318, that was IMB's estimate. We're not sort of hanging our hat on that. We're doing all the optimization work. Currently, we ultimately will issue a number around which we have confidence. But we fully expect that number, I would say even before the inflationary environment, we would expect that likely to be higher given the way that we're going to build the project. So, in this environment, I think you can further expect increases. And just directionally, because it's not again something that's grounded. We've always said it's probably going to be closer to $400 million in aggregate relative versus the 318 that IMB had originally put out there.
Don DeMarco: Okay. Thank you. Good luck with Q2. Appreciate it.
Operator: And speakers, there are no more questions on queue. I will turn the call over back to Jennifer Cameron for closing comments.
Jennifer Cameron: Well, thank you everyone for joining us. Should there be any further questions, please feel free to reach out to our team. And we look forward to speaking with you next quarter. Thank you.
Operator: This concludes today's conference call. Thank you all for joining. You may now disconnect.